Operator: Good evening. Welcome to the Converge Technology Solutions Corp Fourth Quarter 2020 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers remarks, there will be a question and answer session.  Your main host today are Shaun Maine, Chief Executive Officer and Carl Smith, Chief Financial Officer. Before we begin, I am required to provide the forward looking statement respecting forward looking information, which is made on behalf of Converge and all of its representatives there on this call. All statements made on this call will contain forward looking information. The actual results could differ materially from a conclusion forecasts or production in the forward looking information. Certain material, factors or assumptions are applied in drawing a conclusion or making a forecast or a projection as reflected in the forward looking information. 
Shaun Maine : Thank you. Good evening, everyone. And thank you for taking the time to participate on today's call. As I will discuss in further detail, the Converge team had a truly transformative year, executing on our phase three objectives of cross sell, integration, acquisitions, and taking steps to strengthen our balance sheet and reduce our interest costs. To do all of this in a normal year would be impressive. But to do it all during the pandemic, while maintaining over 90% annual adjusted EBITDA growth, as we have done every year we have been in existence is truly remarkable.  I want to begin by expressing my deepest gratitude to our entire family of employees who have remained driven and dedicated throughout these unprecedented times. Furthermore, I would like to pay tribute to the robust relationships Converge has built with industry partners, whose collaboration has allowed us to meet the needs of our valued customers, and to the strong and growing list of customers, an impressive number of whom are new to Converge over the past 12 months, and many who have been with us for years. I thank you for the trust you continue to place in us.  We're excited to watch your success and to continue to grow with you. In what follows, I will discuss the ways in which Converge has grown successfully, both organically and inorganically over the past year. And we'll explore the noteworthy achievements our team has secured through their unwavering commitment to the company and to our valued shareholders.  Despite pausing on acquisitions during Q2 and Q3 last year, due to COVID-19 Converge continued to progress and expand its acquisition pipeline and maintained on pace with our stated goal of four to six acquisitions per year by closing for acquisitions in Q4, increasing the total for 2022 to five acquisitions. We are also off to a strong start for 2021, having closed two acquisitions in Q1. These acquisitions have added more than CAD 300 million and trailing 12 months revenue and added key capabilities in target markets. Unique digital and accurate data, extend Converge reach into the Texas marketplace, which contains four of the 10 largest cities in the US and as key networking and security capabilities around Cisco, VMware, Dell and Palo Alto. 
Carl Smith : Thank you, Shaun. Fourth quarter revenue increased 35% to $289 million compare to $214 million last year. By industry, the breakdown for the quarter was approximately 25% financial sector, 24% government and sled 15% technology and 7% from healthcare. For the 12 months ended December 31, revenue increased 38% to $949 million from $688 million last year. Our gross profit in Q4 increased 33% to $70.9 million from 53.3% last year. Our gross profit margin was 24.5% compared to 24.9% last year. For the 12 months ended December 31 gross profit increased 44% to $233 million from $161 million last year, and our gross profit margin was 24.6% compared to 23.5% last year. 
Shaun Maine : Thanks, Carl. As the momentum of Converge has continued to advance for many of the reasons discussed today. CTS witnessed impressive traction with the investment community throughout 2020. We started the year with a single analyst covering the Converge story as firms and stakeholders awaited our 2019 full year financials. Fast forward to today, and we now have seven analysts covering the company with further eyes and interest on our story.  Since last March, the company has raised over $195 million through a series of oversubscribed, equity financings, ranging from $8.3 million raised last February at $30 per share to $86.5 million raised this past January at $485 per share. Through these public offerings, the company has added valuable institutional investors to our existing shareholder base, while also improving our balance sheet and providing acquisition capital to fuel further growth. In addition to being named an OTC best 50 company, Converge was recognized as a venture 50 winner for the second year in a row, witnessing a share price increase of 255% and the market cap increase of 525% throughout 2020. While we absolutely appreciate the support the Venture Exchange provided to us as a publicly traded company.  Our recent graduation to the TSX represents a natural progression for the company to expand our reach across the broader investment community while improving liquidity for our valued shareholders. With this impressive increase in our stock price, and market capitalization, I have often had to correct people when they mentioned to me that our stock price has had a good run noting, it is our earnings that have had a good run, and our stock price is still struggling to keep up. You might have noted that Jennifer Radman of Caldwell Investments identified us as one of her top picks as featured on BNN two weeks ago. But it is also noteworthy that her two other stock picks are also value plays, Megna and Stelco . I mentioned this as context to the recent volatility in our share price and the volatility in the market generally.
Operator:  Your first question comes from Robert Jones with Canaccord. Robert, please go ahead. 
Robert Jones: Hi, good evening. Maybe the first place I'll start would be around the product revenue is a little higher than expected. Would that be driven potentially by, a rebound in the economy as vaccine rollout starts at USF  in particular, maybe Texas, in Q1 may be a driver given that's opened up for you. I know that's began to open up there. Or is there some other factor like acquisitions that would have driven that line?
Shaun Maine : Thanks, Rob. So, as we've noted before, in Q4, when vaccines were announced, projects that were pushed off in Q2, and Q3, were brought forward. And if there is a mix issue, also, I'll highlight that northern micro did had an extremely strong kind of device the year as well. So it's a combination of pull forward of a product. Again, we still have very strong and robust software and services sales but also you are correct that there was a stronger hardware component there as well.
Robert Jones: Is that something that you're seeing continuing as you move into 2021?
Shaun Maine : So as I mentioned, because there was, so some people are under the misnomer that COVID they increased IT services sales. Actually, Gardner has last year that the market declined by 3.3%. And they have enterprise software this year growing at 8.5% percent harder by 7%. So there is projects that were pushed off, I believe you will see according to Gartner into 2021, an increase in both hardware and software from projects that were pushed off, especially during Q2 and Q3. 
Robert Jones: Okay. And then the disclosure around the private cloud and managed services component of services, I think you said it was $56 million, that's down just a little bit quarter-over-quarter. Is that seasonality or is there something else? 
Shaun Maine : Yes. Yes, so a little bit of transition there. I think you'll see that is more of an anomaly. And you'll see that that's a key area of growth for us in 2021. So, yes, you are correct, but I think you'll see strong growth of that in 2021. 
Robert Jones: Okay, maybe last question before I pass it off, a lot of commentary from IBM talking about embracing the channel more under a new sales strategy. Are you seeing any benefits there? I know IBM is an important partner in channel for you and so are you seeing that impact your business and I will pass the line. 
Shaun Maine : We are extremely important partner for IBM. So in the top six partners were the only one that experienced growth in 2020. And the initiatives, so a lot of the campaigns that we run, I highlighted the Red Hat workshops, we run around OpenShift and Ansible. Like we have a great partnership where they fund that growth and it's really been recognized that our ability to cross especially software across the channel and these cloud packs, so the fact that they're moving more to the channel, and given how much of our revenue but a third comes from IBM, that's an extremely powerful driver for our growth. As they split off their two units and really embrace the channel. David Larose , who runs channels, they are talks about how going from basically 15% for the channel up to 60. So yes, that is definitely a tailwind for us going into 2021.
Robert Jones: Okay, thanks.
Operator: Thank you. We have a following on question from Suthan Sukumar with Eight Capital. Sudan, please go ahead.
Suthan Sukumar: Good morning, gents. And congrats on a strong quarter. So, first question I had was on the managed side of the business, it sounds like you guys are seeing some going traction here and you have a growing pipeline of business in this segment. Can you touch on; we expect that the pipeline -- in terms of what the mix is between kind of existing customers versus net new customers in this pipeline? And can you provide an update on the IBM, the I-Series  opportunity that you guys have touched on previously? 
Shaun Maine : Yes, so the I-Series  opportunities are all that new customers, that's not a segment; so we were providing a lot of DR capabilities around I-Series. But a lot of the I-Series  hosting around Infor with Google tends to be a larger customer base than our traditional base. So that is really kind of a net new. As I mentioned, we went and had a session with all of the Google sales reps and engineers around this as well as the Infor reps. So the pipeline is definitely building around the I-Series  solution, there is an onboarding lag from when you start an onboarding process to when you go live with revenue. And that can be up to a quarter. So you will see a lot a lag, but that is a very strong offering. And alongside with that is the new offerings that we had around service desk, where we're triage and problems on behalf of our customers that help desk as well as then manage network, managed security and manage end user. And as I've talked about in previous calls, we're around 40% gross profit on these offerings, we aim to get that to 50% by the end of this year. And it's a key area of investment for us in 2021.
Suthan Sukumar: Okay, great. That's, that's helpful. Thanks. Same question with on Vivvo and you kind of touched on this a little earlier with respect to Vivvo and some of the progress with integration with the trust platform. What does go to market look like from here? And what are some of the initial use cases and customers that you can you can bring to market first, with the solution?
Shaun Maine : So the traditional use cases have all been around the process through systems around citizens and citizens ecosystems, we started off with a lot of customer supplier relationships where government organizations interacting with their suppliers, really what COVID has done is bring in a whole bunch of new use cases around healthcare and Vivvo has an install base of customers in Saskatchewan with around the healthcare service that makes them really well suited to be able to quickly deploy them on their platform. And then combine that with the Becker Carroll toolkit. And really, where these use cases are really helping us to demonstrate to partners. Here's how this works. And so for us, the channel for the trust platform is really a multi-fold. One is the Converge family, our 300 sellers in our DevOps group who's, again, one of the biggest demands out there right now is for apps around COVID testing, COVID solutions. And we've been using some of the visual AI tools to help on testing recognition, and then passing it back to the platforms a wonderful combination.  But also, if you look at the other channels such as Bell and Rogers or E&Y, Deloitte, PWC; these are all channels for both the platform and the toolkit. And so that's really where another AGM will kind of go through some metrics to gauge that growth. They're much more like a software company and the services component are really being done by partners whether that be Converge or the other partners as well. So the gross profit around the platform is much higher than our traditional, more services more like the kind of CGI type service kind of models. These are more like software type gross profit model that you derive from that and the recurring models for them. 
Suthan Sukumar: Thanks, it's helpful. The last question for me, I guess I want to touch on the M&A outlook. Could you provide some color on, what you guys are seeing today in the valuation environment and how that might have changed over the course of the pandemic and what the impact has been on your pipeline. And has there been any change in the size or profile of the targets that you're looking at now, especially now with your focus also being expanded into the European market?
Shaun Maine : So, as far as North America goes, we've always said four to six a year. Again, we had a very big backlog that we were working through in Q4. And we're still working through that in Q1 in North America. As far as the we can now acquire larger companies that I wouldn't have felt comfortable with, say in phase one, because they might have dominated our overall portfolio. Now you can take on, we say companies between $75 million and $200 million. I can take one that the higher end of that in North America, while still not disrupting our overall company. In Europe, we've stated that starting off in Germany in the UK, in Q2 we'll be looking to buy companies between €75 million and €200 million in Germany, £75 million to £200 million in the UK. And it's a little bit different in that when you go to those countries, the first acquisition becomes a platform and then the synergies come after that, we'll be putting our admin Ireland and our technical resources in Eastern Europe. And so this is a something that until we close the first one, we wanted to do that before we kind of give guidance to in addition to the four to six in North America. What does that look like in Europe, we've been building a pipeline since November, they're now actionable. Again, using very similar techniques to the way we built a pipeline in North America, we've been very successful in doing that in Europe.  And so we're we should be on track to be there about. It does take longer to close acquisitions in Europe than it does in North America, there's just more steps to go through. So it's not as straightforward from LOI to close. We can do them in as quickly as 45 days in North America, whereas I would say it's probably going to be double the timeframe in Europe. But again, the opportunity is very apparent there. And the amount of companies in our sweet spot is, again, there's a tremendous opportunity there and note that I believe that most of the analysts, we've kind of dissuaded from really putting any European acquisitions into the forecast until we closed one. But as we do that we'll be trying to be given guidance for in addition to the four to six in North America, what do we feel we're doing in Europe on an ongoing basis.
Suthan Sukumar: Great, perfect. Thank you, Shaun. 
Operator: Your next question comes from Daniel Rosenberg with Paradigm Capital. Daniel, please go ahead.
Daniel Rosenberg : Thanks. Nice to see the organic growth in the quarter. I had a question regarding the integration comments you had in your preamble. You mentioned now having a platform to rapidly integrate with M&A. I was wondering what does the ramp of cross selling look like? Is that something that you would say the Salesforce would be fully equipped to start selling managed services at your targeted companies? Is that a three months and six months ramp? Or that year ramp? What does that look like? 
Shaun Maine : It's a day one ramp. So very differently from the integration on the back office side, so we've always from day one, stated that the cross sale was our priority, the backups integration is something completely separate. And this is really some of the beauty that what Greg Berard, our President has created, the moment we buy a company, we don't expect those sellers and engineers to know the breadth of our portfolio. They have to notes enough to identify opportunities so that they can bring in our practice areas, and they can provide the deep expertise, where our sellers and our engineers have a great client knowledge of their environment and their processes, our technical expertise can go in and sell. The mistake a lot of companies have made and trying to train up people to sell solutions is they leave them on an island to do it by themselves.  And of course, they're not going to be world experts in Ansible and OpenShift and some of the some of the solutions that we bring to bear analytics and cyber security like Snowflake or Watson, they just won't know those technologies. So our model is they identify them and bring in the experts. And that is such a more powerful model to allow you to quickly. So understand 71 net new logos in one quarter is an astonishing number. And so this ability to buy companies and immediately be able to use the practice areas to go in and sell to their account, things they have never sold before, including managed services. So it's a very different model. And again, we talked about how the workshops that we hold, we bring our mid-market customers to us as opposed to going to them, which wouldn't be very efficient. So the way we're selling is very different than the textbook model that you'd sell to large enterprise. And that's why we're able to cross sell so effectively. 
Daniel Rosenberg : And then just one modeling question. So you guys are scaling becoming more profitable on the taxes? They're moved up this quarter? How should we think about modeling your tax exposure for next year? 
Shaun Maine : That's a wonderful question for Carl, Carl all you. 
Carl Smith : Thanks. So yes, Q4, we had slightly higher taxes but on a cash taxable basis, we're still around to call them between 12 and maybe as high as 15% for the next probably a year or two and then it is we go through some of the losses that we've acquired. And we'll probably get closer to the 21%, which is the US rate in year three, year four from now.
Daniel Rosenberg : Okay, thanks for that. That's it for me. Congrats on a good quarter. 
Operator: Thank you. We have a following question from Nick Agostino with Laurentian Bank. Nick, please go ahead. 
Nick Agostino : Good afternoon. I guess, Shaun, a question for you with regards to a senior MD&A guys expecting remote support, to continue to be strong in 2021. And I'm just wondering if that narrative is changed, or maybe what your observations are, in the last month or so, as we're seeing some economies open up I know Texas is a is a state for you guys, where you have exposure. Just wonder, you're seeing a change in mix shift, as economies open up as to where enterprises are looking to spend their dollars, as the pandemic hopefully comes more of a rearview mirror thing? 
Shaun Maine : So Nick, one of the things that we're seeing is, there's definitely a permanent change in the ways that certain companies and technology companies are leading the way are viewing work from anywhere. So I've used the example, Oracle has said they're not renewing any leases worldwide. So there's a company and there are 10s, of 1000s of employees that all of their infrastructure was built around data centers and intranet and high bandwidth there for the future, they now are work from anywhere. The infrastructure required the security model, a zero trust model, higher bandwidth, in solutions that are in a remote setting, this is not changing and so I think the bigger change is the companies that were delaying spend, because of uncertainty in the marketplace are now spending. But I think there's a dramatic transformation in what was the data center into a multi-cloud kind of environment, much more heavily reliant on VDI or virtual desktops, much more reliant on a new security model. And I can't stress high enough how technologies like our trust platform, that this model that you used to rely on logging into your email for a two factor authentication with access control lists that existed in this environment that you were then a trusted user that doesn't exist in this new world.  And there has to be a whole new way of thinking about how people interact in the security model. We have a world-class cyber security group and one of the greatest ways that we've been getting new customers is triaging security flaws; you hear about various attacks from whether it be other governments or just you know, a new models, and there's just a new way that security has to be addressed. So I do not see this. Everyone going back to the way it was. I don't think, I think there's some permanent changes in the marketplace. And in the way especially employers are going to be supporting their employees, and that it'll be much more of a work from anywhere type manner.  Definitely, there'll be people back in offices. I completely agree with that, but there's a different model that will really be promoted and rolled out. I do not think you're just going to see, oh, flick the switch and you're back to normal.
Nick Agostino: Okay, I appreciate that. Then just maybe switching gears to the activator transaction. I thought it was interesting sizeable earnout. The fact that it's potentially related to recovery in the price of oil. I think that transactions about a month and a half old on your books. Just in the last month, the price of oil has been fairly very strong for that matter. Just wondering if you can maybe provide some preliminary observations on that  if in fact they're starting to see some of their former oil and gas customers come back to?
Shaun Maine: They are world class network providers. Aain, Cisco masters security specialist, Palo Alto specialist have really high end skills and they had about 30 to 35% of their business in oil that just kind of really was heavily impacted last year. There's a lag time though, between prices. The reason prices are so high is because things takes a while to get online. I believe there will be a lag. You're seeing some green shoots there, but definitely not a flick of switch and they're back. I think it'll take a while. I think Q2 is really the time. Traditionally, in these companies, Q4 is by far the biggest and Q2 is another significant quarter. I think Q2 is when you'll start to see the results of a sustained price increase if it's maintained. Because of the lag time in developing and opening up capacity, I think you'll be looking into Q2. We're seeing some green shoots now, but you won't see the revenue dramatically changed think until the Q2 timeframe for that industry.
Nick Agostino: Okay, then just one last one. Given the gap between transactions or acquisitions during the course of 2020, are we safe to assume that everything that was done in Q1 or up until Q1 of last year, you were pretty much were able to recoup all the margin benefit from all those transactions? When it comes to any further margin lift, really we should be looking more so on the last seven you've done, which were late Q4, and early Q1?
Shaun Maine: Remember, the lift that we're going to get through cross sell will not be realized. The lift we get through rebates and the back-office integrations, that's absolutely correct. The whole walk from 3% EBIT up to 6.5. Absolutely, that'll be the newer ones. Because we have integrated of all the other ones, we still have to do the new ones, but it's the cross sell that really have a higher gross profit associated with cloud services and managed services that really will continue to drive on that platform. We've now said in the first 12 months, we'll be able to get those rebates and other synergies from the front and back-office synergies of the new ones. You are absolutely correct there.
Nick Agostino: Okay, perfect. Thank you so much.
Shaun Maine: You're welcome.
Operator: Thank you. We have a following question from Steven Lee with Raymond James. Steven, please go ahead.
Steven Lee: Hey, guys. A couple of questions from me. Shaun, last year, you called out the $20 million integration synergies which you delivered on. Based on the acquisitions you've made so far, is there an amount of synergies you want to call out going into the new year?
Shaun Maine: Not yet. There will be definitely a significant amount during the year, but we haven't finished off getting through our acquisition backlog yet and now that we have a platform to acquire, there'll be timings for those. I wouldn't want to call that out yet, but I do think the next question about how do you get from 3 to 6.5 is valid. If you look at that gross profit percentage in the first year after acquisition, we should be able to get them to 6.5% EBITDA margins.
Steven Lee: Okay, got it. Then maybe for call, looks like you consumed quite a bit of cash flow this quarter, is that usually the case for your Q4s or is there anything you want to call out?
Carl Smith: Hi, Steven. I think we had a bit of an anomaly just in some of the collections on the accounts receivable just in time. Typically, working capital for us is a source of funds and is consistently a source of funds. In Q4, it wasn't, probably for the first time in a long time. I would expect that to normalize again in Q1. So nothing specific, just a little bit of timing difference that caused a short-term cash use from working capital.
Shaun Maine: Let me add to that. Steven, do realize that we closed Viacom on December 31 and therefore, its balance sheet was added to ours on December 31 before we were able to work through the working capital transition. So that balance sheet would have been included as well. Just to add to Carl's comments.
Steven Lee: Okay, got it. We might see a big swing Q1 then in working capital?
Carl Smith: Yes, I would expect it to normalize again.
Steven Lee: Okay, perfect. Then, Carl, I know, Shaun gave the gross recurring revenue annualized, do you have the net recurring revenue annualized for Q4?
Carl Smith: I can get that for you a little bit later on. I just don't have it right in front of me.
Steven Lee: Okay, I'll follow up with you. Okay. Thanks, guys.
Operator: Thank you. Your next question comes from , please go ahead.
Unidentified Analyst: Hi, Shaun and Carl, and thank you for taking my questions. Congratulations on that great quarter and year and content execution. I guess this question is asked already, but I wanted to ask you a bit more about your entry into Europe, is that included in your $2 billion run rate call for 2022 or is that going to be added to that?
Shaun Maine: Right now, if you look at what we said on the call that we've added $300 million since the beginning of Q4 in run rate revenue. If you take that on, then we say per year, you can model in CAD400 million a year, it is the average of four to six  acquisitions. When you look at the target that we have for Europe, if they're in Euro or in Sterling, your conversion into Canadian dollars means that if you're buying something at €100 million to €150 million or £100 million to £150 million, those numbers go up quite dramatically. If we're to buy a couple in Europe, then that'll definitely increase dramatically the revenue that will be impacted on a run rate basis for 2021. Again, you will see the full impact of those as we're just getting started in Q2 and you'll have some later on in the year, but that will definitely impact those run rate revenue for 2021.
Unidentified Analyst: Okay, thank you. And in terms of acquisitions in North America, you still looking to expand territory; is there -- as if more about capabilities? 
Shaun Maine: It won't be about capabilities, we feel very good about our capabilities, especially in some of the tuck-in acquisitions we did in Q4. But what I've always said is, those NFL cities, when you look at that map and modern that NFL cities, that's my target. So, we feel that continuing on four to six a year, we're still not through our backlog -- working through our backlog yet; so we'll continue to work through our backlog, probably take a pause then as we focus in on Europe, and then continue on again. But my targets is more about customers and cities, cultural always being the first thing that comes to mind, but capabilities; we feel very good about the capabilities we possess in North America.
Unidentified Analyst: Okay. And then -- so how should we then think about acquisitions and entering Europe? Would that also then be territories, and you will -- will be cross-selling them to capabilities you already built up?
Shaun Maine: Correct. So again, we haven't given any guidance until we nailed -- sorry, closed the first acquisition. So I think what we'll do is, we'll kind of wait to talk a little bit further on the European strategy when we close the first one; because until you close the first one, you know, right now I'm making assumptions on timing, on how long it takes to close, on price and the rest. So we feel it'd be better to guide -- we have some plans that we're looking to put in place. But again, based on the acquisitions and the geographies that will tweak those plans left and right. And so, will -- we feel more comfortable about stating those plans once we've landed the first acquisition; so we'll have to defer to those.
Unidentified Analyst: Okay, thank you. That was all for me.
Operator: Thank you. There are no further questions at this time. Please proceed.
Shaun Maine: Great. So thank you to everyone for participating on today's call, whether you've been with us from Day 1 or due to the story; it has been my pleasure updating you on our strongest year yet. I look forward to updating our shareholders again when we announce our next quarterly call. And thank you for your continued support. Good night.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and we ask that you please disconnect your lines. Have a great day.